Operator: Good day, and thank you for standing by. Welcome to the CommScope's 2024 Full Year and Fourth Quarter Results Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your speaker today, Massimo DiSabato, Vice President, Investor Relations. Please go ahead.
Massimo DiSabato: Good morning, and thank you for joining us today to discuss CommScope's 2024 full year and fourth quarter results. I'm Massimo DiSabato, Vice President of Investor Relations for CommScope. And with me on today's call are Chuck Treadway, President and CEO; and Kyle Lorentzen, Executive Vice President and CFO. You can find the slides that accompany this report on our Investor Relations website. Please note that some of our comments today will contain forward-looking statements based on our current view of our business, and actual future results may differ materially. Please see our recent SEC filings which identify the principal risks and uncertainties that could affect future performance. Before I turn the call over to Chuck, I have a few housekeeping items to review. Today, we will discuss certain adjusted or non-GAAP financial measures, which are described in more detail in this morning's earnings materials. Reconciliations of non-GAAP financial measures and other associated disclosures are contained in our earnings materials and posted on our website. All references during today's discussion will be to our adjusted results. All full year and quarterly growth rates described during today's presentation are on a year-over-year basis unless otherwise noted. I'll now turn the call over to our President and CEO, Chuck Treadway.
Charles Treadway: Thank you, Massimo. Good morning, everyone. I'll begin on Slide 2. I'm pleased to announce our fourth quarter results. In the fourth quarter, CommScope delivered core net sales of $1.17 billion, a year-over-year increase of 27% and core adjusted EBITDA of $240 million, a year-over-year increase of 69%, driven by strength in its CCS and core NICS business. Core adjusted EBITDA as a percent of revenues up 20.6% was one of the highest CommScope has achieved since the ARRIS acquisition. I'm very pleased with our fourth quarter performance as we sequentially improved revenue and adjusted EBITDA for the third consecutive quarter. Our strong adjusted EBITDA as a percentage of revenues validates that we are effectively managing what we can control. On an annual basis, core CommScope delivered net sales of $4.21 billion, decreasing 8% from the prior year. The decline in revenue resulted in core adjusted EBITDA of $756 million, in line with prior year. We ended the year exceeding our provided $700 million to $750 million core adjusted EBITDA range. As we move into 2025, we are well positioned for substantial growth in all of our businesses. We're exiting the year at a quarterly rate that is substantially higher than the 2024 quarterly average. Based on current visibility, we are projecting 2025 core adjusted EBITDA in the $1.0 billion to $1.05 billion range. In addition to strong results, we made significant progress on our debt positioning during the fourth quarter by refinancing a portion of our debt. The debt refinancing, coupled with the sale of our OWN and DAS businesses that closed on January 31, and subsequent paydown of approximately $2 billion of debt with the proceeds, clearly puts us in a stronger position to focus on business growth, free cash flow generation and deleveraging. I would like to thank the lender group that assisted in facilitating our debt deal. The confidence they have in our business positions us to continue to implement our strategy and increase our equity value. Finally, I would like to thank our OWN and DAS teams and wish them great success with Amphenol. Now I'd like to give you an update on each of our core businesses. CCS 2024 full range revenue grew 4.5% and adjusted EBITDA increased 55% compared to full year 2023. In the fourth quarter, CCS revenue grew 36%, while CCS adjusted EBITDA increased 110% as a result of revenue growth across all of our product lines. CCS adjusted EBITDA as a percentage of revenue was approximately 23.4%, showing continued strength as we manage new product introductions, cost and fixed cost leverage. As we exit the year, I would like to call out our enterprise fiber business that holds our products that we sell into the data center market. For the full year, that business drove revenues of $623 million, a 73% increase year-over-year. In the fourth quarter alone, the Enterprise business had $202 million of revenue, an increase over fourth quarter 2023 of 96%. With the growth we've seen in 2024, the enterprise fiber business represented 22% of CCS revenue and 27% of total fourth quarter CCS revenue. We are very excited about the market projections for the data center business and our positioning in this market. Third-party market analysis indicates 30-plus percent annual revenue growth over the next few years in our business. The demand in our enterprise fiber business is not solely driven by growth in data centers, but the complexity of new AI-focused data centers that require 5 to 10x the amount of our cabling and connectivity solutions versus the traditional data centers. CommScope is well positioned in the data center markets with the breadth of products and capacity to meet the service and quality requirements. We believe we have taken market share and expect continued share gains in 2025. We continue to invest in new capacity and are in the middle of a capacity expansion that will deliver an additional $300 million of revenue at full capacity. We would expect additional capacity expansions in 2025 to keep up with the projected strong growth in this market. In our other CCS business units, broadband and structured cable demand has returned after a soft first quarter in 2024. In both businesses, we believe that customers have normalized inventory and we are back to demand matching the deployment rates. In broadband, we believe that BEAD will have a positive impact on our revenues. However, we don't expect anything meaningful to materialize until 2026. Outside of BEAD, demand drivers over the next few years are strong, and we are investing to grow share internationally. We're investing in new products with the launch of our Prodigy Connector in broadband, including signing a license agreement for others to use our product. On the structured cable business, we continue to drive market leadership with several new products launched in 2024, including SYSTIMAX 2.0, VisiPORT, GigaREACH XL and GigaSPEED XL5. These solutions have demonstrated a renewed focus and an expanded portfolio of future-ready solutions that are agile enough for the most demanding networks. Overall, between data centers, the normalization of customer inventory and the projected market growth in broadband, we are encouraged as we move into 2025 and expect very strong growth year-over-year in CCS. Turning to core NICS, which excludes DAS. Revenue was up 13% in the fourth quarter compared to prior year. Core NICS adjusted EBITDA was up $19 million or 285% versus prior year. This was driven by higher revenue of RUCKUS. We feel that the challenges in the first half with channel inventory are behind us as inventory levels have normalized. As the business moves back to historical seasonality, we believe the RUCKUS business is well positioned for growth in 2025. In addition to normalized inventory and subsequent demand, we have seen a lot of traction with our RUCKUS initiatives, including our recently announced RUCKUS Edge platform as well as a specific vertical strategy focused on manufacturing, higher education and Pro AV markets. RUCKUS Edge that we called out on our last call, has seen increased traction. This platform extends the cloud-based AI RUCKUS One platform to the edge of the network to enable rapid deployment and simplified management of these networks from anywhere, making it easier than ever to deploy, maintain and expand networks. In addition, we have introduced an improved channel partner program and added a number of sales resources. Just like our CCS segment, we remain bullish on the core NICS business and are investing for our next phase of growth. Finishing our core business updates with ANS, we previously mentioned 2024 has been a transitional year for ANS driving historically weak performance. Our customers were faced with larger-than-expected inventory as well as navigating the choices for next-generation HFC architecture and we are still continued -- and we are still in continued development of next-generation products. Despite a weak 2024, we believe ANS is best positioned with decades of knowledge of our customers' ecosystems and our breadth of new products for service providers to take advantage of the latest DOCSIS upgrade cycle. Our suite of products includes all areas of the HFC network, including virtual CMTS, nodes, amplifiers and RPD and RMD modules. During the fourth quarter, we had meaningful shipments of FDX nodes to Comcast and expect to significantly ramp up shipments in 2025. We're the only proven FDX amplifier manufacturer currently in the market and this will result in a major improvement of our business in 2025, marking the beginning of a multiyear upgrade cycle. We have also moved our virtual CCAP program forward completing many lab trials and are now on several field trials. All major steps to winning business with major HFC Tier one customers globally. Momentum has been building and the next phase of upgrades are coming. Service providers are going to be tasked with upgrading their next-generation networks. So the real question remains the timing and magnitude of the upcoming upgrade cycle for our customers. Overall, we are continuing to navigate our businesses through improved market conditions as some of our businesses are benefiting quicker than others. We are bullish over the next few years in all of our segments. For our core businesses, improved ordering trends and a stronger second half of 2024 have given us confidence that better market conditions and focusing on what we control, will help us improve our results in 2025 and beyond. We will continue to control what we can, including supporting our customers as they navigate through their networks, upgrades and builds. Based on actions that we have taken, including CommScope next initiatives, we expect strong profitability improvements as revenue recovers. This is evidenced by our strong adjusted EBITDA as a percentage of revenue in the fourth quarter of 20.6%. Ultimately, driving company performance in the company's total debt to an adjusted EBITDA ratio below 6x by the end of 2026. And with that, I'd like to turn things over to Kyle to talk more about our full year and fourth quarter results.
Kyle Lorentzen: Thank you, Chuck, and good morning, everyone. I'll start with an overview of our full year 2024 results on Slide 3. For the full year, CommScope reported net sales from continuing operations of $4.206 billion, a decrease of 8% from the prior year, primarily driven by the delayed upgrade cycle in ANS. Adjusted EBITDA from continuing operations was $700 million, which increased by 5%. Adjusted EPS was a loss of $0.03 per share. For Core CommScope, which excludes the OWN and DAS businesses and general corporate costs that were previously allocated to the OWN,  DAS and Home businesses, we reported core adjusted EBITDA of $756 million for the full year of 2024, which ended flat versus prior year. Our adjusted EBITDA as a percentage of revenues of 18% increased by 140 basis points year-over-year as we continue to manage what we can control, including costs. For CommScope, including OWN and DAS, we reported net sales of $5.472 billion, which decreased 5% from prior year with adjusted EBITDA of $1.095 billion for the full year of 2024, which increased 10% from prior year. Turning now to our fourth quarter results on Slide 4. For Core CommScope, which excludes the OWN and DAS businesses and general corporate costs that were previously allocated to the OWN, DAS, Home businesses, we reported core adjusted EBITDA of $240 million for the fourth quarter of 2024, which increased 69% from prior year. It should be noted that these results include a onetime inventory charge of $18 million in our ANS business. Without that charge, adjusted EBITDA would have been $258 million. The actual result was a 9% improvement sequentially versus the third quarter. Our adjusted EBITDA as a percentage of revenues of 20.6% and increased by 510 basis points year-over-year. For the fourth quarter, CommScope reported net sales from continuing operations of $1.169 billion, an increase of 27% from the prior year, driven by an increase in all segments. Adjusted EBITDA from continuing operations of $223 million increased by 87%. Adjusted EPS was $0.18 per share. We experienced improved sequential revenue and adjusted EBITDA, driven by increasing demand in CCS and ANS products. For CommScope, including OWN and DAS, we reported net sales of $1.502 billion, which increased 27% from prior year with adjusted EBITDA of $330 million for the fourth quarter of 2024, increasing 75% from prior year. Core CommScope backlog ended the quarter at $977 million, up versus the end of the third quarter. As mentioned previously, in all of our businesses, we are back to normalized backlog levels with short lead times, and we now expect our core businesses to align closer to historic quarterly order trends. Turning now to our fourth quarter highlights on Slide 5. Starting with CCS net sales of $754 million increased 36% from the prior year. CCS adjusted EBITDA of $176 million increased 110% from the prior year. CCS adjusted EBITDA as a percentage of revenue for the quarter remained strong at 23.4%, driven by favorable mix, cost savings and cost leverage. Although we expect CCS adjusted EBITDA as a percentage of revenue to remain strong, we would not expect it to remain at this level for the first quarter of 2025 as we return to normal seasonality and  lower activity levels in the first and fourth quarters. The CCS revenue increase was driven by all product lines with hyperscale and cloud data centers seeing the strongest growth. We are excited about the data center market projections and our positioning in the market. Based on third-party analysis and discussions with our customers, we expect 30% plus annual  growth over the next several years in this market. We are well positioned to take market share as we continue to invest in capacity and new products. Our enterprise fiber business grew 73% in 2024. On a sequential basis, overall CCS grew 2%. Looking towards the first quarter, we expect revenue to be in line with fourth quarter, but EBITDA to decline based on product mix. Core NICS net sales of $154 million increased by 13% versus the fourth quarter of 2023 driven by normalized inventory in the channel. Core NICS adjusted EBITDA of $26 million increased 285% from the prior year, primarily driven by the increase in RUCKUS revenue. As noted in previous calls, the overhang from channel inventory lasted through the first half of 2024 and started to improve in the third quarter. On a sequential basis, revenue decreased 2% and the EBITDA decreased 6% due to seasonality. We continue to drive our vertical market strategies and RUCKUS initiatives, including RUCKUS Edge and Wi-Fi 7 initiatives. In addition, we continue to shift more of our business to subscription with the new products and vertical market focus, we are well positioned to take market share in the medium and long term. We are making a large investment in our go-to-market organization, investing approximately $15 million in frontline sales to expand our reach. First quarter NICS adjusted EBITDA is expected to decline compared to fourth quarter results due to increase in variable compensation and a return to historical order patterns in which Q4 and Q1 tend to be lower. ANS net sales of $261 million increased 12% from the prior year as customer inventory levels begin to stabilize, and we saw some initial shipments of our FDX products. ANS adjusted EBITDA of $38 million was down $14 million or 27% from the prior year, driven by lower software revenue, unfavorable product mix and an increase in E&O charges in the quarter. As mentioned earlier, ANS realized a onetime $18 million inventory write-down in the fourth quarter. ANS had a very challenging 2024 as customers continue to delay their upgrade cycle and the legacy business continued to decline. We expect to see both revenue and EBITDA down in first quarter versus the fourth quarter due to project timing. However, we are excited about 2025 as we launch our FDX and unified products. We are expecting a strong rebound in revenue and adjusted EBITDA as our investments made over the last 3 years on product development have positioned us for the pending upgrade cycle. The business remains well positioned to take advantage of upgrade cycles as we have decades of experience with customer ecosystems, the largest installed base and the broadest suite of products. Performance will be driven by the speed and magnitude of the upcoming upgrade cycle that is in early stages. Finally, early in the first quarter, we completed the divestiture of the OWN and DAS businesses to Amphenol. Net sales of these 2 businesses were $333 million in the fourth quarter and increased 27% from the prior year. Note that the activity of these businesses reported as discontinued operations, while the assets and liabilities of these businesses were reported as held for sale this quarter. Turning to Slide 6 for an update on cash flow. During the quarter, we generated $278 million from cash flow from operations and free cash flow of $271 million. 2024 fourth quarter cash flow from operations increase from the prior year, driven by higher EBITDA. As we look at cash flow guidance for 2025, we expect breakeven cash flow. In this guidance, we project an investment in capital expenditures and working capital of over $200 million, driven by growth in the business. I would highlight that historically, first quarter is a quarter with significant use of cash driven by a high cash interest payment quarter and incentive payouts. Turning to Slide 7 for an update on our liquidity and capital structure. During the fourth quarter, our cash and liquidity remains strong. We ended the quarter with $663 million in global cash and total available cash and liquidity of roughly $1.1 billion. During the quarter, our cash balance increased by $207 million. We drew $200 million on our ABL revolver during the fourth quarter as part of our refinancing terms. We repaid all outstanding amounts of the ABL at the end of January after closing our transaction for the OWN and DAS business to Amphenol. It should also be noted that we lost approximately $140 million of our ABL availability with the OWN, DAS transaction. During the quarter, CommScope entered into a new debt agreement with its existing first lien lenders to borrow $3.15 billion first lien term loan maturing in 2029 and $1 billion in first lien notes maturing in 2031. Proceeds from the new first lien debt enable the company to fully repay its senior unsecured notes due in 2025 and its existing senior secured term loan facility. Proceeds from the previously announced sale of the company's OWN segment as well as its DAS business unit to Amphenol for $2.1 billion were used to repay all outstanding amounts under the company's asset backed revolving credit facility, repay in part the company's 4.75% senior secured notes due 2029, repay in full the company's 6% senior secured notes due 2026 and pay fees and expenses associated with the transaction. We purchased no debt on the open market. However, going forward, we will continue to use cash opportunistically to buy back securities across the breadth of our capital structure. The company ended the quarter with net leverage ratio of 7.8x, down from the prior quarter of 9.1x. The calculation of the net leverage includes the OWN and DAS businesses. I'm now turning to Slide 8, where I will conclude my prepared remarks with some commentary around our expectations for 2025. In our core business, we have seen sequential quarterly revenue and adjusted EBITDA improvement from the first quarter to the fourth quarter of 2024. We exited 2024 and in a much stronger position than we started the year. During 2024, we have seen strong recovery in our CCS business, driven by data center, GenAI growth and inventory normalization. We expect that this trend will continue. The core NICS and ANS segments are projected to rebound from challenges in 2024. This is evidenced by improvement in the second half of 2024 in these businesses. Overall, driven by the improved performance throughout 2024, we expect our 2025 adjusted EBITDA in the range of $1 billion to $1.05 billion. Similar to what we experienced in 2024, we expect the second half to be stronger than the first half. We would expect first quarter core revenue and adjusted EBITDA to be down from fourth quarter results as we experienced normal seasonality and project timing. We continue to control what we can control including managing costs and supporting our customers. Our core adjusted EBITDA as a percentage of revenue improved from 15.4% in the fourth quarter of 2023 to 20.6% in fourth quarter of 2024. This is a testament to our priority to control what we can and improve long-term profitability. And with that, I'd like to give the floor back to Chuck for some closing remarks.
Charles Treadway: Thank you, Kyle. I'm pleased with where we are positioned as we move into 2025. This is evidenced by our sequential growth during 2024 and our exit rates in the fourth quarter. We believe that many of our customer inventory challenges are behind us and demand is growing in all of our segments. We have made significant investments in our product offerings and capacity over the last several years and are in a great position to take advantage of the projected stronger markets. The data center market alone is a game changer for CommScope. I'm very excited about the market trends and our position. Our teams have done a great job taking advantage of the growth in the data center market with new products and high levels of service and quality. As other markets recover and grow, we will continue to focus on what we can control through our CommScope next program. In all of our segments, we have exciting initiatives that can add substantial value to CommScope. And with that, we'll now open the line for questions.
Operator: [Operator Instructions] And our first question comes from Matt Niknam of Deutsche Bank.
Matthew Niknam: Congrats on the quarter. Two, if I could. I guess, first, on the core adjusted EBITDA guide. So you've guided to $1 billion to $1.05 billion for next year. That implies, I think, relative to the pullback in 1Q that you're talking about that's tied to seasonality, a pretty meaningful step up. So I'm wondering, Chuck, if you can speak to the visibility and confidence level in that ramp-up in forward periods? And then secondly, just in terms of tariffs, I'm wondering if there's anything that's baked into the outlook. And if you can remind us of your manufacturing exposure between the U.S. and other international markets that could be impacted?
Charles Treadway: Okay. So I'll take confidence in the recovery question first. And look, we've seen sequential quarterly improvement throughout 2024. We're exiting the year, as Kyle said and I did as well at $240 million of adjusted EBITDA and that includes a $17 million inventory -- $18 million inventory charge. And when we think about these things together or separately, I mean, this is well over $950 million adjusted EBITDA going forward. I'd also say that we've had lots of positive conversations with our customers in all the segments. And I would say the main two drivers to think about in terms of recovery are both the data center business as well as the FDX launch. In terms of tariffs, we manufacture a lot in the U.S. as well as in countries where we sell our products. I'd say overall, we're very supportive of U.S. manufacturing. Our most significant and immediate exposure, I would say, which is similar to our competition is Mexico. And just like others, we're waiting to see what happens with tariffs. In the short term, we're evaluating price increases. And then I would say in the medium term, potentially moving some manufacturing and warehousing. But I would say, in most cases, we believe we're in a similar position with competition.
Operator: Our next question comes from Steven Fox of Fox Advisors.
Steven Fox: A couple of questions from me. Chuck, I was wondering, first of all, you mentioned market share gains a couple of times when talking about the enterprise fiber business. Can you sort of dig into what's driving that? And also any new products that you're excited about in that business specifically? And then second, a little bit of a definitional question. You then talked about broadband and structured cabling and structured cabling can also be in the enterprise, I guess, depending on how we're defining it on the copper side. So I guess can you talk about structured cabling from a copper standpoint in enterprise or land networks and how you're thinking about that for the year?
Charles Treadway: Yes. In terms of data center, positioning of our company. I'd say overall, it's about now 15% of our company. As Kyle mentioned, it was 22% for CCS in 2024 and then 27% of our business in the Q4. And when you think about some of the numbers we talked about growth quarter-over-quarter -- I mean, year-over-year for the fourth quarter, I mean, almost 100%. We believe we're a leader in the space. I mean, the products that we're talking about are MPO connectors, raceways and panels. And we've also went out to third parties to look at what does this mean to us? What does this market mean to us with our particular specific product range and what's happening in the space, and we see that growing at approximately 30% over the next few year. And it's truly driven by the GenAI [Technical Difficulty]  I just look at our numbers compared to what I hear from others, and I think that we are gaining share there. But I would say, in general, it's just a very fast-growing market, and we're very pleased that we're in it. I'll let Kyle take the second question.
Kyle Lorentzen: Yes. So on the copper side of the business, I think we saw in '24, a lot of the same dynamics that we saw in some of the other markets like broadband, where there was an overbuild of customer inventory. They worked the inventory off sort of '23 and early '24 and we saw in recovery in copper business similar to the other [Technical Difficulty] we feel like we're a strong leader there. We're the technology leader. And I think Chuck mentioned some very specific products that we -- like our GigaSPEED product that we rolled out in '24. So I think our view on the copper business is we're the leader. We'll see some growth from '24 to '25, but we saw strong growth in '24 primarily driven by just customer inventory normalization as they work down the inventory that they built in '23 and early in '24.
Charles Treadway: And Steven, your question about structured cable I mean there's -- when you think about the enterprise space and buildings, I mean copper is a big piece of it, but there's also a fiber piece, too. So we don't want to think that we're -- we don't want people to think we're only copper in the buildings, we're also fiber in the buildings as well. So that's why we're moving to more of a naming convention of structured cabling.
Operator: And our next question comes from Simon Leopold of Raymond James.
Simon Leopold: I've got two here. One is looking at this progress in data center. I know historically, you were heavily levered towards enterprise. And clearly, you're getting some traction here with the larger buyers like the hyperscalers. So within this growth and the outlook, could you help us gain a better understanding of where you stand today within the data center business as to the split between those hyperscale type buyers and your more traditional enterprise? And then I've got a follow-up on the ANS segment.
Kyle Lorentzen: Yes. So I think as we think about data center, I mean, we're not going to get into specific numbers, but I just think like generally in the market, it's definitely weighted toward hyperscalers. The hyperscalers are the drivers of that market. Although we play outside of the data -- the hyperscalers, definitely, it's -- our business is more weighted toward hyperscalers than it is the other part of the business. I think what we'd say about the other part of the business is we saw -- our growth in '24 isn't coming solely from hyperscalers. It's coming from hyperscalers and the other cloud data center customers that we have.
Simon Leopold: Great. And then on the ANS business, you did highlight in your comments, the amplifiers, which sound like they're on a good trend. But wondering about RPD and nodes. I have the impression you're a share gainer in that aspect as well. And maybe just set a little bit of context in terms of within ANS, how material our amplifier is expected to be to the mix? I think we've been estimating about 1/3 of the revenue. Just wondering if that's the right ballpark.
Charles Treadway: When you look at the RPD nodes and -- RPD nodes and modules, I would say when you think about that we believe we're going to be gaining share there because we've been, I would say, some of the competition went out first and now we're going to be getting more of our share of those pieces. So that's the main point there. In terms of the data -- in terms of the actual size of the FDX business compared to the total, I don't know, if we...
Kyle Lorentzen: Yes. I mean the amplifier business is a little bit higher than the third. It's probably in the 40% to 50% range of the ANS business. That clearly cycles year-to-year based on just project timing. I think as we think about the FDX amplifier ramp that we were talking about 2025, I mean that's a pretty substantial ramp as we roll those products out throughout 2025. The impact that we had in Q4 for the FDX amplifier was relatively modest and we'll see that ramp up. So our amplifier business is probably in that 40% range of the overall business.
Operator: And our next question comes from Meta Marshall of Morgan Stanley.
Meta Marshall: Maybe 2 questions for me. One, kind of appreciate the EBITDA guide. Just is there any rough contextualization of revenue growth that's associated with that or just revenue range we should be thinking of? And then second, on the NICS business, as you look at improvement there throughout the year, how are you judging pent-up demand for this Edge refresh launch versus just fundamental demand coming back?
Charles Treadway: I'll take the second question, and then Kyle can hit the first one. I would say what we've really seen here in the NICS business is the channel inventory build is behind us. And I would say it's back to normal growth, and we're expecting that to be higher single digits per year over the next few years. And then what's really helping us here is our full suite of products. I mean, RUCKUS One and Wi-Fi 7 are getting good traction. And we're focused on growing share -- market share, specifically in the verticals that we talked about for. And I think another big important piece for us here is the investments. We're going to be investing about $15 million in our direct sales force to improve coverage and to grow the business. And we also think there's a little bit of -- that's going to help us with this back to office. We believe there's going to be some help there.
Kyle Lorentzen: Yes. On the -- we're not guiding to a specific revenue number. But I guess how I qualify that is on a year-over-year basis, full year, we're probably talking about somewhere in the 20% growth in revenue, albeit, as you know, the ramp in -- our exit rate in '24 is substantially higher than the average that we saw in '24. So if you just think about it, it's in that 20% range of revenue growth.
Operator: The next question comes from Samik Chatterjee of JPMorgan.
Priyanka Thapa: This is Priyanka on for Samik. And so I think we want to pinpoint on the question on FDX amplifiers. Can you walk us through how you anticipate this rollout of FDX amplifiers and unified amplifiers to play out in 2025?
Charles Treadway: Well, I would say we shipped in the fourth quarter, we probably shipped about $50 million worth of FDX amplifiers. And as we go into 2025, we're going to ship as much as $300 million. I would say that that's not all incremental because the FDX could cannibalize some of the previous generation Amplifier products.
Priyanka Thapa: It was also -- I think you mentioned previously like a step function chain in 2Q. Is that going to be step function chain in 2Q that's going to be maintained throughout the rest of the year? Or is there like some sort of differences in seasonality on that front?
Kyle Lorentzen: Yes. I think the -- I think we'll see the ramp in Q2 and Q3. I think we will see some quarterly fluctuations in just quarter-to-quarter as the ramp-up happens after Q2, Q3. But I think for now, the way to think about it is Q1 is going to remain relatively light as we ramp up production then Q2 and Q3 will be pretty strong. And then I think beyond that, we'll sort of see how it plays out with how our customers do the installations.
Operator: Our next question comes from Ana Goshko of Bank of America.
Ana Goshko: I wonder if there's any activity or kind of thoughts on the strategic front. So obviously, the OWN and DAS sale was very helpful in addressing the debt stack. But I think there was also just ideas that other parts of your business could be attractive and other sorts of strategic combination. So wondering if there's anything that's still opportunistically possible there? Or has that largely died down now that you've been able to address the debt profile?
Charles Treadway: Yes. I'd just say, look, we're really head down focused on running our business right now. We're really excited about data center business, FDX, the new products and structured cabling. I mean probably for the first time since Kyle and I have been here that all 3 businesses are kind of now hitting on -- hitting good stride at the same time. So we got a lot to do here.
Operator: I'm showing no further questions at this time. I'd like to turn it back to Chuck Treadway for closing remarks.
Charles Treadway: Yes. I'd like to thank you all for your time today, and I appreciate your interest in CommScope. Have a great rest of your week. Thank you.
Operator: This concludes today's conference call. Thank you for participating, and you may now disconnect.